Operator: Thank you for standing by. This is the conference operator. Welcome to the Eldorado Gold First Quarter 2025 Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there'll be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Lynette Gould, Vice President, Investor Relations, Communications and External Affairs. Please go ahead, Ms. Gould.
Lynette Gould: Thank you, operator, and good morning, everyone. I'd like to warmly welcome you to our first quarter 2025 results conference call. Before we begin, I would like to remind you that we will be making forward-looking statements and referring to non-IFRS measures during the call. Please refer to the cautionary statements included in the presentation and the disclosure of non-IFRS measures and risk factors in our management's discussion and analysis. Joining me on the call today, we have George Burns, President and Chief Executive Officer; Paul Ferneyhough, Executive Vice President and Chief Financial Officer; Louw Smith, Executive Vice President, Development, Greece; and Simon Hille, Executive Vice President, Operations and Technical Services. Our release yesterday details our first quarter 2025, financial and operating results. This should be read in conjunction with our first quarter 2025 financial statements and management's discussion and analysis, both of which are available on our website. They have also both been filed on SEDAR+ and EDGAR. All dollar figures discussed today are U.S. dollars, unless otherwise stated. We will be speaking to the slides that accompany this webcast, which you can download a copy of these slides from our website. After the prepared remarks, we will open the call for Q&A. At that time, we will invite analysts to queue for questions. I will now turn the call over to George.
George Burns: Thanks, Lynette, and good morning, everyone. Before we begin our formal prepared remarks, on behalf of the Eldorado team, I would like to extend our condolences and thoughts to those impacted by the recent tragic event that took place in the Lapu-Lapu Festival in Vancouver this past weekend. What should have been a joyful celebration of Filipino culture and community ended in unimaginable loss and our hearts are broken over this tragedy. In support of the efforts, we have made monetary donations to the Canadian Blood Services and to the Crisis Center of BC. Turning to the outline for today's call, I'll begin with an overview of the first quarter 2025 results and highlights. I'll then hand the call over to Paul to go through our financials, followed by Louw and Simon, who will provide a review of our operational performance. We'll conclude by opening the call to questions from our analysts. Turning to Slide 4. Our operations delivered a solid quarter with safe production of 115,893 gold ounces with Lamaque, Kisladag and Efemçukuru in-line with expectations. Production at Olympias was lower than expected as a result of challenges with flotation circuit stability and unplanned maintenance on the pyrite concentrate filtration. These challenges have been resolved and production has recovered to expected levels in Q2. Looking ahead, increased production with a slightly stronger second half of the year remaining on track to achieve our guidance to produce between 460,000 and 500,000 ounces of gold in 2025. Total cash cost and all-in-sustaining costs were $11.53 per ounce sold and $15.59 per ounce sold respectively. Costs were higher compared to 2024 primarily a result of higher royalties, driven by higher gold prices in addition to higher labor costs. While costs were above the top-end of our guidance range for the year, we still expect to meet our annual guidance. Paul will touch on our costs in more detail later in the call. Turning to Slide 5, in the first quarter, our lost time injury frequency rate was 0.7, a decrease from the LTIFR of 1.63 in the first quarter of 2024. We take pride in our safety performance and our employees' dedication to safe operations, but we recognize, there is still more to achieve. During 2025, we continue to make health and safety improvements with a focus on high potential risk control and empowering employees to cultivate a positive health and safety culture. During the quarter, as part of the inaugural awards of Health and Safety, positive recognition, an employee at Kisladag was recognized for speaking up and stopping unsafe working behavior, demonstrating courageous safety leadership. On sustainability during the quarter, we updated and rolled out the third version of our Sustainability Integrated Management System, SIMS to all sites. SIMS is founded and fostered on Eldorado's values and is a critical tool for driving continuous improvement of sustainability performance across our business. As everyone would have seen yesterday, we expanded our normal course issuer bid. This is part of our commitment to enhancing shareholder value and demonstrating confidence in the long-term prospects of our business. Given our strong financial position, expected growing production profile and free cash flow generation, we believe the current share price does not fully reflect the underlying value of the Company. We see the NCIB as an important way to return capital to our shareholders. The flexibility of the NCIB allows us to opportunistically repurchase shares, while maintaining the financial strength needed to pursue our broader strategic objectives including growth initiatives and disciplined capital allocation. I'll stop there and turn the call over to Paul for a review of our financial results.
Paul Ferneyhough: Thanks, George. Moving to Slide 6, our results reflect a strong and steady operation that remains in line with our guidance. Record high gold prices have supported robust cash flow generation and kept our profitability margins intact despite an increase in production costs, compared to Q1 2024. In the first quarter, Eldorado generated net earnings attributable to our continuing operations of $72 million or $0.35 per share. Our performance was driven by higher average realized gold prices, which more than offset the impact of elevated production costs, including increased royalty expense, higher labor costs, and greater income tax expenses. It's important to highlight that, our net earnings were influenced by the gold collars we established in 2023, as part of our balance sheet strengthening strategy following the restart of the Skouries project. During Q1, the increase in gold prices translated to a realized derivative loss of $11 million from those collars. Moving forward, we have approximately 150,000 ounces outstanding on the gold collars with a cool price of $2,667 per ounce for the remainder of the year and no additional collars after 2025. After excluding one-time non-recurring items, our adjusted net earnings for the quarter are $56 million or $0.28 per share. These adjustments include a $74 million tax recovery stemming from the recognition of a deferred tax asset in the quarter and an offsetting $63 million unrealized loss on derivative instruments most notably the gold collars. Our free cash flow for the quarter was negative $22 million. Excluding capital investments in the Skouries project, free cash flow turns positive and totaled $76 million, as compared to $34 million. In Q1 2024 and underscores the strength of our operating assets in today's gold price environment. Looking at operating activities, cash flow before changes in working capital reached $137 million in Q1, up from $108 million in last year's comparable period. This increase is primarily the result of a 38% jump in revenue, which rose to $355 million from $255 million buoyed by an average realized gold price of $2,933 per ounce in Q1 2025, compared to $2,086 in the previous year. While production costs increased $25 million to $148 million during the quarter from the comparable quarter last year, roughly one-third of the increase was due to higher royalty expenses in Greece and Turkey. High gold prices have driven both revenue and some costs upwards. In Q1, total cash costs reached $1,153 per ounce sold and our all in sustaining costs climbed to $1,559 per ounce reflecting not only the impact of high production costs and royalties, but also a modest increase in sustaining capital expenditures, compared to 12 months ago. Capital investments in our operating mines this quarter amounted to $71 million. These expenditures supported growth projects including at Kisladag where they range from planned waste stripping and procurement of equipment to support the extended mine life to the ongoing construction of the second phase of the North Heap Leach Pad and North ADR infrastructure. At Skouries, progress is advancing as planned with earthworks and infrastructure developments moving steadily. During the quarter, we invested approximately $84 million in the project along with an additional $6 million in accelerated operational capital to support our transition to self-performing open pit mining operations. Our current tax expense for the quarter was $47 million, an increase from $12 million in the same period last year, reflecting higher operating profitability in Canada and Turkey. Deferred income tax recovery of $80 million in the quarter compared to an expense of $4 million in Q1 2024. This recovery included a $74 million benefit from the recognition of deferred tax assets with the remainder driven by favorable local currency movements against the U.S. Before I transition to our balance sheet, I want to briefly address the ongoing global U.S. tariff discussions. Although it's early to pinpoint the final impact, our preliminary analysis on our Canadian business unit suggests, these tariffs could add a consolidated impact of approximately $4 per ounce to our total cash costs and $6 per ounce to our ASIC for the rest of this year. Turning to Slide 7. Our robust balance sheet remains the cornerstone of our business providing us with abundant financial flexibility. We concluded the first quarter with a total liquidity of $1.2 billion, comprising $978 million in cash and cash equivalents and $241 million available under our senior secured credit facility. This strong financial foundation continues to empower us to invest in profitable cash flow generating operations, while progressing with the construction of Skouries and positioning ourselves to seize new opportunities as they arise. With that overview, I'll now turn the call over to Louw, who will guide you through the highlights of our Greek assets.
Louw Smith: Thanks, Paul, and good morning. Starting on Slide 8 at our Skouries copper gold project. At the end of Q1, overall project progress was 66% for Phase 2 of construction. We continue to expect first gold production in the first quarter of 2026 and commercial production in mid-2026. We have experienced a steady ramp up of required skilled labor during the quarter with a heavy emphasis on concrete and filter plant mechanical and exceeded our target of 1,300 at the March, with approximately 1,375 personnel through the gate each day. While we have exceeded our current target, it's not just about the number of people on the ground, it's ensuring, we have the right skill sets and work fronts available, as we navigate and continue advancing the project. The plant construction productivity remains at or slightly better than our assumptions. On this slide, you can see on the top left photo, the concrete works advancing of the cause or stop power reclaim feet tunnel. The bottom photo shows the filter tailings building with a number of three feeder conveyors before installation. The top right photo shows the tank farm area at the filter tailings plant. Power cropping is complete and concrete placement has advanced with the first three of five tank bases having been completed. Moving on to Slide 9. During the first quarter the project capital invested at Skouries was $84 million. The spend in the first quarter was lower than Q4 2024, but in line with our expectations, as we had completed major procurement activities last year, including the tailings filter presses, major electrical equipment, and the process control system amongst other items. Over the coming quarters, we do expect to see increasing spend with higher procurement and construction spend in line with our expectations. We remain on track to meet our project capital guidance of $400 million to $450 million for the full year. In addition, we spent $6 million in accelerated operational capital towards the $80 million to $100 million expected this year. The spend included mobile equipment, that will be used as we move to owner operator miner in the open pit. Some of the equipment that we have received to date includes CAT777 trucks, and excavator, front-end loaders, graders and compactors. As we ramp up equipment and personnel on-site, we expect to see increasing spend over the next three quarters. Open pit mobile equipment is arriving on-site and being assembled and commissioned. Open pit grade control drilling is underway and we expect to start Phase 1 open pit mining during Q4 2025. The photos on the slide and the next few slides will show the advancement of the work underway. As you can see on the large photo on the left of the slide, infrastructure around the process plant continues to advance. Work in the process plant continues to expand to additional work fronts for mechanical installations and cable trays. Piping installations have started in the process plant and the pump house to enable the start of some pre-commissioning activities. In addition, water testing of the rougher flotation circuit is underway. Infrastructure on the west side of the main process plant building is shown, including construction works progressing on the secondary substation and control building. Cable play is completed in the substation and in progress in the control building. Infrastructure on the east side of the main process building as shown, including the structural steel installation is complete for the line plant and the blower's buildings. You can also see the progress of the installation of the conveyor that will transport ore from the cable crusher to the transfer tower. Moving to Slide 10. As you can see on the large photo on the right of the slide, the three thickeners continue to advance to plan. Concrete works for the first thickener has been completed and mechanical installations have commenced. The second thickener is approximately 85% complete and the third has its base completed. On the photo to the left, earlier this week, we reached an important milestone for the first part of the project. We have filled the tailings clarifier tank and started water testing in the tailings thickener circuit. Turning to Slide 11, at the filtered tailings building, we have included a link to an updated time lapse video showcasing the completion of the concrete foundation. Work has now transitioned to the installation of the structural steel and major mechanical equipment, both of which are advancing as planned. Piling for the compressor building is complete and piling for pipe racks and the clarifier area continues to progress. On Slide 12, work continues of the construction of the crusher building structure. The concrete foundation has been completed and work is advancing on the first level walls with approximately 60% of the walls completed in April. The first floor is expected to be finished in May, which will house the apron feeder to the course ore stockpile. Piling and drainage work for the primary crusher conveyor alignment to the course ore stockpile was completed and final excavations are well advanced. Moving to Olympias on Slide 13. First quarter gold production was 11,829 ounces and total cash costs were $2,398 per ounce sold. Gold production along with the production of byproducts was affected by unplanned maintenance for the pyrite concentrate filtration that we disclosed in Q4 and subsequently resolved in January. In addition, we encountered a challenge with flotation circuit stability. During the quarter, analysis has shown that, the flotation instability was generated by the viscosity modifier, that is added to the paste backfill to assist in paste pumping in the underground. The addition of this modifier impacted flotation circuit stability, impacted recoveries across all concentrates. Several mitigation steps have been enacted that have stabilized the flotation performance to date in the second quarter and production has recovered to expected levels in Q2. Total cash costs were impacted by lower product sales, lower gold sold and higher royalties, partially offset by slightly lower gold treatment and refining charges and slightly lower selling costs due to the lower volumes. I'll stop there and hand it over to Simon to discuss the Turkish and Canadian operations.
Simon Hille: Thanks, Louw. Starting in Turkey A on Slide 14. Kisladag delivered a solid start to the year with production totaling 44,319 ounces and total cash costs of $1,039 per ounce sold. Total cash costs were primarily impacted by higher royalties, driven by higher gold price, a stronger lira and higher labor costs. Production was strong, as we continued lynching gold ounces from tons stacked in 2024, as well as higher average grade of new tons placed in the quarter. Additionally, ounces stacked increased by 21%, compared to the prior year, primarily due to increased average stacking rate. We continued advancing the engineering and geometallurgical studies, which are focused on understanding the future mining phases and optimizing the crushing and leach circuits. We expect to provide results in conjunction with our Q3 reporting. At Efemçukuru on Slide 15, First Quarter gold production was 19,307 ounces at total cash costs of $1,357 per ounce sold. Gold production throughput and average gold grade at Efemçukuru were in line with the plan for the quarter. And now moving to the Lamaque Complex on Slide 16. Lamaque delivered production of 40,438 ounces at total cash costs of $836 per ounce sold. First quarter production was impacted by lower grades and recovery during the quarter, which was partially offset by higher average throughput at the mill. Total cash costs were higher in the quarter than the comparable period in 2024, impacted by lower volume sold and additional labor and contractor costs. In 2024, the center of production was primarily in the C4 ore zone and we are now operating on several levels extending into the C5 ore zone. This has moved the center of production lower over time, adding distance and time to haulage cycle, thereby incurring additional costs related to haulage, equipment and personnel requirements. Total cash costs were also impacted by slightly higher royalties due to the higher realized gold price, partially offset by the weakening Canadian dollar. I would like to take a moment again to shine a spotlight on what we mentioned in our Q4 2024 conference call. The superb achievement is site delivered with production of the one millionth ounce was a great achievement. Bravo team. And with that, I'll hand back to George.
George Burns: Thanks, team. In summary, it's been a solid start to the year operationally and financially. And I would like to acknowledge the dedication and hard work of our teams across the sites. We are strongly positioned for the balance of 2025 and beyond, building on years of optimization efforts to strengthen our asset portfolio and stable production base. With a solid balance sheet and high-quality assets, we are well-positioned to generate significant value for our stakeholders, that is further enhanced by the strength in today's gold and copper price. Thank you for your time. I will now turn it over to the operator for questions from our analysts.
Operator: Thank you. We’ll now begin the analyst question and answer session. Our first question is from Cosmos Chiu with CIBC. Please go ahead.
Cosmos Chiu: Thanks George and team. Maybe my first question is on Skouries. I know it's more complex than that and appreciate all the pictures that were shown to us in terms of progress. But my question is on the 66% completion of Phase 2 that you've given to us, and that increased from 60% last quarter. How can we and also investors potentially use that as a yardstick of how your progress is going? For example, like do we -- is it -- should we expect to see 100% by Q1 or close to 100% by Q1 2026 ahead of your first production. Is that how we can use it? Maybe if you can help us out?
George Burns: Yes. Thanks for the question, Cosmos. So, yes, for sure, we plan to be in commissioning and have first production in Q1 of next year, at which point the construction would be at 100%. And then in terms of how that number is going to increase over the coming quarters, there's really two key aspects here. One is the number of construction workforce we have at site and the work they're doing in piping, mechanical, electrical. So that work will push up. But the other thing that comes with that is, we get certain work completed, we then start installing equipment and some of the work is being done off-site. For instance, we're assembling some of the mechanical equipment that will be in the dry stack tailings facility in Thessaloniki. So those workers aren't coming to site, they're assembling those pieces, and when we're ready to put those into the dry stack tailings facility, we'll set that equipment and then you'll see progress against that construction. So, where we're at today, we've got concrete construction workforce that we need to complete and continue the concrete work, and we'll be ramping up piping and mechanical significantly in Q2 and into Q3, as the concrete finishes and we're able to then move on to the next phase in various parts of the construction. So, it's going to be evolving. I think we're in a very good position right now with our workforce. Our general contractors have visibility on the workforce, that we need to bring the site over the coming quarters and our Hellas team have backup labor lined up, I'd say like a Plan B, and Plan C, if for some reason the contractors fall short on workforce. So, I think we've done a lot of really constructive work to have flexibility and contingencies to ensure we have the labor at the right time and feel comfortable with our guidance of first quarter production and mid next year commercial production.
Cosmos Chiu: And George, that leads in well to my next question here. As you mentioned in your MD&A, you proactively built contingency plans to protect the schedule and budget. You kind of touched on it just now, but could you maybe elaborate a little bit more in terms of as you said Plan B, Plan C, even a Plan D and anything that you can share with us?
George Burns: Maybe starting with the workforce. So, our primary objective has always been to hire construction workers from Greece, and we made some pretty good progress over the last quarter to find additional workforce, particularly in mechanical and piping. And then on Plan B, both our contractors and our Hellas team have found multiple opportunities within the EU of available workforce to meet our needs. And generally, there is areas close to Greece like Romania, Bulgaria, Italy where we've got people lined up. I call that kind of Plan B. And Plan C would be going a little further away to Scandinavia. So anyway, we've got good visibility on the workforce that we need to progress this construction over the coming quarters.
Cosmos Chiu: Great. Maybe switching gears a little bit, the NCIB, good to see that you've increased your NCIB for the potential shares that you can buy back. And I think if you do buy back, it shows the market you have confidence in your timeline for Skouries. In terms of that, like, should we or could we expect your usage of the NCIB facility to increase as we get closer to completion of Skouries, or is that really not a factor? It's really dependent on free cash flow on the price, it's not really dependent on how close you get to the completion of construction of Skouries?
George Burns: Cosmos, the way I would describe it is, we've got good confidence now in our construction, and we believe our shares are undervalued, and we think now is the time to begin buying back shares and we'll be monitoring our progress, we'll be monitoring our share price movement and make the best decisions we can for our shareholders as this year unfolds. So, I think your first comment, I think it does show confidence from our management team that we are on track and our share price is undervalued and this is a mechanism to improve that situation.
Operator: The next question is from Tanya Jakusconek with Scotiabank. Please go ahead.
Tanya Jakusconek: Maybe let's start with the easy one. Just thinking about your year and I know George you mentioned a stronger second half of the year, and we know that Q2 we're supposed to see better performance coming out of Olympias getting back to normalize, but how do you see the year in terms of first half, second half? Am I looking at that 48% in the first half, 52% in the second half and sort of Q1 and Q2 being similar?
George Burns: I think that's the exact correct way to describe how the year is going to unfold.
Tanya Jakusconek: Okay. And then anything unusual on the maintenance side that I should be thinking about in that first half, second half, anything down from maintenance at any of the operations?
George Burns: Nothing beyond routine preventative maintenance.
Tanya Jakusconek: Okay. That's great. Thank you. And since I have you on George, I just wanted to come back to Skouries, before I go to Paul on some other financials. Just on Skouries, maybe just for my own understanding, you've mentioned you've got your Plan B and C on your labor. You mentioned that the next phase for Q2, Q3 are really the piping, electrical, mechanical. You mentioned you have the workforce on the mechanical and piping. What about the electrical or did you just miss that out, or maybe as I think about it, is any one of that area more constrained than the other, in labor?
George Burns: Thanks for the question. I'd say, our visibility on all the trades required to meet our schedule, we've got good visibility and we've got contingency plans in all the trades. Second comment is, I mean each area of the plants evolving differently. So, Q2 is going to be more heavy on mechanical and piping, but there is going to be a ramp up in electrical and control system. There are certain areas of the plant, where it's ready for that work. If you look at the critical path on the project, it still remains to be the dry stack tailings filter area, and you can see from the photos, we are progressing well on the concrete now. We've made a lot of progress in the structural steel, and we've actually installed some of the equipment in the bottom of that building for filtering the tailing. So, things are progressing well. We're beginning to do mechanical there, and as that mechanical work advances, we'll start doing electrical and control system stuff in Q3 and Q4. So, every work front is a bit different, but, sorry, I didn't mention it, but we do have good visibility on each of the trades required. It's just, I was trying to highlight Q2. It's really going to ramp up on mechanical and piping across the facility.
Tanya Jakusconek: Okay. And then maybe if we move to just the training on the open pit side, you've got the equipment coming to site and you're obviously self-mining starting in Q4 of this year in the open pit. How is that going?
George Burns: Our executive team visited Louw and the site team over the quarter a couple of times actually and I was able to meet the first crew that we've hired. I'd say, they were excited. They've gone through all of the kind of classroom-type training and they were beginning to get on the equipment. I'd say roughly around a third of the employees we've hired so far have certifications, have the training and the other two thirds are working towards those certifications. So, it was great to see that the team starting to get on the gear and start operating the equipment. In terms of the timing, I mean, we're now operating that equipment and it's going to ramp up pretty steadily over Q2 and Q3. So, we'll be moving rock with our equipment, ramping it up all year long and they'll be moving some ways to support the construction activities and delivering stockpile material to our contractor that's doing all the civil works and they'll begin to mine some more this year, that will stockpile for commissioning and ramp up next year. So, we're on track, the gears arriving and we're beginning to train that workforce.
Tanya Jakusconek: And can you remind me George, how many people you have right now for the open pit and how many do you need to have in place or do you have them already all there?
Louw Smith: Tanya, it's Louw. We currently have, in Q1, we recruited 12 open pit operators and another 15 has followed in April. So, we'll build it up over the course of the year to 80, 8-0. As George has said, there's strong support from in training. We also now have started hiring mobile maintenance personnel and they will be trained by Caterpillar to support this equipment in future.
Tanya Jakusconek: Okay. So, you have 27 right now and having to go to 80?
Louw Smith: Yes. Correct.
Tanya Jakusconek: Okay. Thank you so much for that and good luck and it seems like you've got the labor there which is good. Maybe if I can just move over to Paul, to talk about just the tariffs and the prepaid. I'm sorry, with the prepaid I'll do the easier one, the prepaid and can we just, you have it, it has to deliver the remaining amount during 2025. Just as a reminder for me, in the income statement, is it showing up under other?
Paul Ferneyhough: Yes, the items that we've prepaid are showing up on the balance sheet and accounts receivable, Tanya.
Tanya Jakusconek: Okay. All right. And then, maybe on the interest expense, which was quite high for me, versus what I was expecting, what exactly is happening there? Is less being capitalized? I'm just trying to understand, why it was so high and what should I be thinking about that?
Paul Ferneyhough: Yes. There were two reasons, both of them sort of one-offs compared to where we were twelve months ago. Firstly, following the sale of our stake in G Mining, we accounted for the margin that we paid on that through that line. And then secondly, 12 months ago, we had a reversal of commitment fees relating to the project financing, which then went into capitalization. So that was a catch up from prior periods. So, between the two of them, that accounts for about a $10 million difference. Otherwise, our underlying financing expenses, there's no real change. Everything to do with the term facility in Greece gets capitalized. You can see that through Note 10, if you refer to that one. So, no real change.
Tanya Jakusconek: Okay. So, we should think about it going back to a more normalized rate in Q2 onwards?
Paul Ferneyhough: Yes. Definitely.
Tanya Jakusconek: Okay. And then maybe, if I could just squeeze in my tariff question. I'm just interested, you mentioned the couple of dollars per ounce impact. I think it was $4 on total cash cost $6 on all in sustaining, but maybe just besides the numbers from a higher level, Paul. What is -- I'm assuming it's in the consumables that you will see that impact and maybe can you just review from a higher level, what consumables would be impacted that you are either getting from the U.S. or other?
Paul Ferneyhough: I mean absolutely Tanya. There's considerable uncertainty on how this is going to impact our business, but the real area where we're focused on it is in Quebec. We do have some items that we purchased from the U.S. principally explosives and cyanide. And so, there's two ways they may be impacted. Firstly, if Canada implements tariffs on bringing those into the country or secondly, if tariffs into the U.S. increase the input costs on our suppliers, which then get passed on to us. That estimate of four to six across total cash costs and ASIC is just where we see those things at the moment. I've also been working with our procurement teams, getting them to look at fast moving items that we use at all of our operations in fact, to ensure that if there was some supply squeeze as tariffs were being implemented that we have appropriate levels of inventory on hand. So, they're looking at that as well. We'll keep an eye on it, until we get greater certainty as to exactly what this means and you'll have seen it changes on a daily basis it seems at certain times. We won't really know, but I feel pretty comfortable that, it's not material and that's where that sort of $4 to $6 an ounce comes from.
Tanya Jakusconek: Yes. It's funny because, I'm so -- I guess, surprised that a lot of the mining companies buy explosives from the U.S. and kind of surprised that we can't buy them in Canada. But, are there alternatives for us in Canada to buy explosives? I understand cyanide with DuPont, but I'm just wondering on the explosive side. Are there other opportunities within Canada?
Paul Ferneyhough: Yes. So, we source explosives for other parts of our operations, not from the U.S. and I think we would look to existing suppliers. If we could source in Canada, then certainly we wouldn't ignore that opportunity, but it's something we look at, if we see supplies squeezing in that particular point.
Tanya Jakusconek: Thanks for that. I'm just surprised in general from how much of explosives come from the U.S. Thank you so much for helping me and I'll let someone else ask questions.
Operator: [Operator Instructions] The next question is from Don DeMarco with National Bank Financial. Please go ahead.
Don DeMarco: Thank you, operator, and good morning, George and team. So, guys, Skouries CapEx, a bit light in Q1, if we just take simply take full year guidance and divide by four. Was that intentional, or do you expect to catch up over the balance of the year? I do see that open pit mining starting in Q4.
George Burns: Yes, I mean, at a high level what I would describe is, we had an increase in construction labor in Q1 versus Q4. So, we are seeing the ramp up in construction workers and that is impacting the cost. What didn't happen in Q1, we weren't putting into the cost additional equipment that we're installing as part of the construction and essentially it was heavy amount of concrete work. What you'll see in Q2 and Q3 is that, concrete works finished, we'll be doing that mechanical work. We'll be slotting in equipment and you'll be seeing the cost increase. So I would just describe it went as expected and we're on track.
Don DeMarco: Perfect. And so, continuing with Skouries, procurement is complete, should we take that as a mitigating risk to further CapEx increases? I know, you've talked about labor, but just to the point like, overall, how would you characterize CapEx or schedule risk going forward at this point?
George Burns: I mean, first of all, if you look at the categories, we've got the materials we need at site or in Thessaloniki nearby. So, we don't have risk of not having the gear or cost increases on gear. So now it boils down to executing the construction schedule that's largely driven on having the workforce we need, when we need it and for that workforce to deliver the productivity that we've assumed. And so, I've talked quite a bit about we've got good visibility on getting the construction workforce as we need it. Regarding productivity, thus far, including the ramp up that happened in Q1, we continue to see productivities at or slightly better than what we've assumed. So feeling comfortable that, we're on track with schedule, and if we're on track with schedule, we're going to be on track with cost.
Don DeMarco: Okay. Thanks for that. Then just as a final question and this is a continuation of what Cosmos had asked earlier. On the NCIB, I think you indicated there's a step change increase from 350,000 over 10 million shares. So, what's remarkable to me is just the magnitude of the increase. Can you add some color on what's behind this increase facility, this NCIB?
Paul Ferneyhough: Yes. Don, thank you. It's Paul. Really, we're moving from an NCIB that we were using to support, some of our long-term incentive programs where we have to acquire stock and holding and trust to an NCIB that's focused on returning value to shareholders. As we go through capital allocation decisions and we look at where we believe we are in terms of investment for Skouries, delivery of the business on the background of current high gold prices. We have a balance sheet that has the flexibility for us to return some of that capital to shareholders. And so really moving to an NCIB that allows us to acquire up to 5% of our share capital, based on the rules and regulations that govern that program. This is going to be something that now, as we see market conditions over coming weeks and days, where we feel it's appropriate. We're going to be able to step into the market and purchase some of our stock to the benefit of our shareholders. So really this is changing our stance, demonstrating confidence in the financial performance of the business, confidence in where we are with the Skouries project and therefore looking to reward our shareholders with additional value. So that's what we target to that.
Don DeMarco: Okay. Thank you for that, Paul. And George and team, that's all for me. Good luck with Q2 and the rest of the year.
Paul Ferneyhough: Thank you.
Operator: The next question is from Lawson Winder with Bank of America Securities. Please go ahead.
Lawson Winder: Yes. Thank you very much, operator, and good morning, George and Paul. I'm going to ask about the buyback again and ask it in a bit of a different way. And that is, when you budgeted your balance sheet and your liquidity for the build out of Skouries, I mean, I don't think selling those G Mining shares was part of that. And so why not just allocate that entire windfall from G Mining shares to the buyback?
George Burns: Yes, thanks for the question. I mean, look, the maximum that we can allocate to the buyback under the NCIB is 5%. That's broadly comparable to the money that we received for the sale of the G Mining stocks and also the deferred consideration that we have coming later in the year. I wouldn't link the two together. We're just looking to use the NCIB to its maximum amount over a period of time going forward. The pace at which we do that will be governed by market conditions and we will be opportunistic, if market conditions are favorable for us to buy back, what we believe are undervalued stock.
Lawson Winder: Okay. And then just back to Skouries and thinking about the risk around skilled labor availability and thinking about your competition for that skilled labor. There are huge fiscal programs being rolled out in Germany, and we'll probably start to see them in other countries. We don't have a lot of visibility on the timing, and so, maybe I'd ask the question, to what extent can you sort of plan for that competition? The timings, maybe it's going to work out perfectly. You can just get under the line before some of those infrastructure projects in Germany and elsewhere start to ramp up. But, I mean, thinking about it from a budgeting point of view, have you budgeted to any extent the risk of some meaningful inflation in the cost of that skilled labor?
George Burns: Thanks for the question. Maybe the first thing just to give you a bit more visibility, we've identified over 700 skilled workers in the EU to support the construction. So that's basically the plan A, B and C, where we found available trades workers to meet our schedule. That makes us feel comfortable. In terms of the cost, I'm really not worried about the cost. Depending on the country that the worker comes from the EU, there is higher cost say from Scandinavia versus the Balkans. But it's not that material, it's within our estimates and our guidance. And I guess your other question was these other EU investments. Our visibility is that, our schedules ahead of what you just described. So, we're not worried about it. And I'd say, the fact we've got Plan B and C gives us that comfort that we'll have the people we need when we need them.
Lawson Winder: Okay, fantastic. Appreciate it.
Paul Ferneyhough: In addition, in those plants, we are in contact with those companies that we identified to supply labor. So, we actively sharing, exchanging headcount requirements within. So, it's ongoing conversation in Skouries.
Operator: That's all the time we have today. This concludes the question-and-answer session and today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.